Operator: Good day, and welcome to the Kimco Realty First Quarter 2021 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. 
 I would like now to turn the conference over to David Bujnicki, Senior Vice President of Investor Relations. Please go ahead. 
David Bujnicki: Good morning, and thank you for joining Kimco's quarterly earnings call. The Kimco management team participating on the call today include Conor Flynn, Kimco's CEO; Ross Cooper, President and Chief Investment Officer; Glenn Cohen, our CFO; Dave Jamieson, Kimco's Chief Operating Officer; as well as other members of our executive team that are also available to answer questions during the call. 
 As a reminder, statements made during the course of this call may be deemed forward-looking, and it is important to note that the company's actual results could differ materially from those projected in such forward-looking statements. due to a variety of risks, uncertainties and other factors. Please refer to the company's SEC filings that address such factors. 
 During this presentation, management may make reference to certain non-GAAP financial measures that we believe help investors better understand Kimco's operating results. Reconciliations of these non-GAAP financial measures can be found in our quarterly supplemental financial information on the Kimco Investor Relations website. Also, in the event our call was to incur technical difficulties, we'll try to resolve as quickly as possible, and if the need arises, we'll post additional information to our IR website. 
 And with that, I'll turn the call over to Conor. 
Conor Flynn: Good morning, and thanks for joining us. I will lead off today with an update on the RPT integration, a summary of our significant first quarter leasing accomplishments and a brief review of our strategic direction and goals. Ross will follow with an update on the transaction market, and Glenn will close with a summary of our financial results, major metrics and the specifics behind our increase to guidance. 
 After a seamless close on our acquisition of RPT on the first business day of the year, the integration is now complete. Most important is that in almost all aspects as it relates to RPT, we are ahead of our underwriting expectations in terms of timing, performance and the select monetization of their assets. The new portfolio is performing well, producing over 3% same-site NOI for the quarter and revealing exciting growth opportunities that were either not previously underwritten or had overly conservative assumptions. This includes greater ancillary income, better-than-expected credit loss and in the lease-up of shop space. We are very excited about the prospects for the new combination going forward, and many thanks to our talented team, including our newest associates on this smooth integration. 
 From a cost synergies perspective, at this early point in the year were ahead of expectations and anticipate reaching the high end of the stated range of $34 million in 2024. 
 The better-than-expected results are attributable to our execution of planned dispositions ahead of schedule as well as the implementation of lessons learned from Weingarten, including accurate underwriting of hiring needs and a more rapid approach to decommissioning office space and eliminating duplicative services. 
 Kimco's operating platform is delivering efficiencies due to the clustering of additional assets in our core trade areas as well as the strategic investments we've made over the past 5 years: technology, talent and other areas. 
 Turning to our first quarter leasing results. The portfolio generated same-site NOI growth of 3.9%. The increase includes 2.8% growth from higher minimum rents and a combination of lower landlord expenses, lower credit loss and higher net recoveries. Pro rata occupancy came in at 96%, which represents a decrease of 20 basis points from last quarter, but also an improvement of 20 basis points from a year ago. 
 The change from last quarter was primarily due to the RPT merger and the vacating of 4 Rite Aid locations. Pro rata occupancy was also up 20 basis points to 97.8% and flat from a year ago. Small shop occupancy was down 20 basis points from last quarter to 91.5% as a result of the RPT merger, while still up 80 basis points from a year ago. Excluding the impact of RPT, small shop occupancy actually would have increased 20 basis points sequentially and represents future upside. 
 During the first quarter, we leased over 4 million square feet, including 143 new leases signs of positive leasing spreads of 35.5%. We continued our strong trend with over 400 renewals and options completed at an overall positive spread of 7.8%. Overall combined spreads were 10.2% on 583 deals. 
 Our leased-to-economic occupancy spread now stands at 330 basis points, representing a 20 basis point compression from last quarter as leases commenced and represents $63.4 million of annual base rent with about $18 million expected to come online during the remainder of 2024. 
 Our strong quarterly results give us confidence to raise our full year guidance for both FFO and same-site NOI, which Glenn will provide further color on, recognizing the importance of growing in a high inflation environment, we remain focused on trimming noncritical expenses. 
 Further, we have strategically positioned our open-air grocery and mixed-use portfolio in firs-ring suburbs of select vibrant major metropolitan areas. These high barrier entry markets continue to represent the sweet spot of the retail landscape as new supply remains constrained and demand from our best-in-class tenants remain strong. Ross? 
Ross Cooper: Thank you, and good morning. It was a busy quarter of execution for Kimco, and we're pleased with our current positioning and what we've accomplished year-to-date. Just 3 short months ago on the fourth quarter earnings call, I mentioned the optimism in the transaction environment coming off of a dip in the treasury rate and expectations for the Fed rate cuts in 2024. 
 The optimism was short-lived as inflation has remained sticky dampening the prospect of interest rate cuts and transaction activity. Notwithstanding the macro challenges, we were able to successfully complete the RPT sales consistent with our underwriting expectations as Conor shared. We sold 10 former RPT centers in the first quarter with the level of sales and cap rates in line with the previously provided guidance ranges as well as a similar cap rate on the overall RPT company acquisition that was completed this January. 
 In addition, we negotiated to retain a slice of the capital stack on 8 of the sold assets in the form of mezzanine financing which allows us to continue to earn a double-digit yield on a secure income stream. With these sales completed ahead of schedule, we have executed on the majority of our disposition targets for 2024. We can now focus our efforts on new investment activity throughout the balance of the year. Glenn will soon provide more details on this. 
 Speaking of investment activity, we have also closed on a pair of structured investments, one during the first quarter and the second subsequent to quarter end. Both properties align with our strategy of investing in high-quality real estate, supported by strong tenancy and demographics with seasoned operators. We also have a right of first offer or refusal embedded in our position. 
 Total Kimco investment in the 2 properties was modest at $17 million, but the value of the 2 centers combined is upwards of $175 million allowing us to get our foot in the door on a potential future acquisition opportunity. We expect there will be additional unique and attractive structured investment opportunities as our capital remains in high demand. 
 On the core acquisition front, we have maintained our disciplined approach to investing at a spread to our cost of capital. Asset pricing remains strong as we have seen major market infill grocery and high-quality convenience centers still trading at plus or minus 6% cap rates and in some cases, even below that. While this is a testament to the fundamental strength of the open-air retail platform, it has not been easy to find accretive opportunities through the first 4 months of the year. 
 We remain confident in our ability to source and secure properties that align with our return thresholds and given our selective approach, it will likely push more of our acquisition activity toward the late second half of the year. 
 Now off to Glenn for the financial results and updates to our outlook. 
Glenn Cohen: Thanks, Ross, and good morning. 2024 was off to a strong and active start. As Conor mentioned, our first quarter results are highlighted by solid leasing activity, double-digit leasing spreads and robust same-site NOI growth. These positive operating metrics drove our strong FFO per share growth, excluding merger costs.
 All our metrics are inclusive of the $2.3 billion RPT acquisition, which we completed on the first business day of 2024. While we are providing insight on the RPT contribution for the first quarter, we do not plan to continue breaking out that performance as operations are fully integrated. 
 Now for some details on our first quarter results. FFO was $261.8 million or $0.39 per diluted share, which includes merger charges of $25.2 million or $0.04 per diluted share. Our strategic and timely acquisition of RPT resulted in several significant contributors to our improved performance, primarily on higher pro rata NOI. 
 Importantly, RPT is running ahead of all our underwriting expectations as Conor highlighted. Excluding the merger charges, FFO would have been $0.43 per diluted share for the first quarter as compared to $238.1 million or $0.39 per diluted share for the first quarter last year representing a 10.3% per share increase. The primary driver of our improved performance was our higher pro rata NOI of $53.7 million of which $38 million was generated by the RPT sites. Pro rata NOI also benefited from higher minimum rents coming from commencements from the signed-not-occupied pipeline and lower credit loss. 
 Credit loss for the first quarter of 2024 was 62 basis points as compared to 92 basis points for the first quarter last year. In addition, included in the NOI increase is GAAP income of $1.1 million from the RPT acquisition related to straight line and above and below market rent amortization. 
 FFO also benefited from higher interest income of $7.4 million attributable to the higher cash balances during the quarter. We view this as a nonrecurring item and do not expect this to continue for the remainder of the year as we have significantly utilized most of our cash in the first quarter towards the closing of the RPT acquisition and debt reduction. 
 These increases were offset by greater pro rata interest expense of $14.6 million, resulting from the higher interest rate on the $646 million of bonds that were recently refinanced, lower fair market value amortization related to the form of Weingarten bonds and higher rates on the floating rate debt in our joint ventures. Our FFO for the first quarter also includes about $0.01 per share of other nonrecurring income items with a onetime benefit of $2.4 million in below-market rents from 2 tenants that vacated early and $2.5 million of other income. 
 It was a very active quarter from a balance sheet perspective, primarily resulting from the RPT acquisition, much of which was already addressed on our last earnings call. Just to briefly summarize, we issued 53 million common shares and 953,000 OP units and replaced RPT's 7.25% convertible preferred stock with a liquidation value of $92.5 million, with a new Kimco convertible preferred issuance with similar terms. 
 We also repaid RPT's $130 million revolving credit facility and their $514 million of private placement notes from cash on our balance sheet. Amended and assumed $310 million of RPT term loans, which have staggered maturities from 2026 to 2028 at a blended weighted average rate of 4.77% and issued a new $200 million term loan with a final maturity in 2029 at a fixed rate of 4.57%. 
 As previously mentioned, we monetized our remaining shares in Albertsons earlier in the quarter, receiving nearly $300 million in proceeds and recorded a $72 million tax provision on the game. At the end of the first quarter, our liquidity position remained very strong with over $2 billion of immediate availability and no remaining debt maturities for the balance of the year. 
 Our balance sheet further strengthened as the company's leverage metrics improved once again. We ended the first quarter with a consolidated net debt-to-EBITDA ratio of 5.3x and on a look-through basis, including pro rata share of joint venture debt and perpetual preferred stock outstanding of 5.6x. The look-through metric of 5.6x is the best level Kimco has ever achieved and an improvement from the 6.2x reported a year ago. 
 Turning to our outlook. Based on our strong first quarter results, the successful integration of the RPT acquisition and our expectations for the balance of the year we are raising our FFO per diluted share range from $1.54 to $1.58 to a new range of $1.56 to $1.60 inclusive of $0.04 per share for RPT merger costs. 
 Excluding the merger costs, this represents a 3.2% annual FFO per share growth at the midpoint of the increased guidance range over last year's results. 
 Our increased FFO per share guidance range incorporates the following updates to our full year assumptions: higher same-site NOI growth of 2.25% to 3% and from the previous level of 1.5% to 2.5% and is inclusive of the RPT assets and a credit loss assumption of 75 basis points to 100 basis points; interest income of $10 million to $12 million based on the interest income earned during the first quarter and RPT related noncash GAAP accounting income comprised of straight-line rents; and above and below fair market value rent amortization of $4 million to $5 million. 
 Our other full year FFO guidance assumptions remain intact, including our disposition range of $350 million to $450 million inclusive of the $250 million completed during the first quarter, and investment range of $300 million to $350 million weighted toward the late second half of the year. 
 I want to thank all of our associates whose incredible effort efficiently completed the integration of the RPT transaction and contributed to our strong first quarter results. And with that, we are ready to take your questions. 
Operator: [Operator Instructions] Our first question comes from Dori Kesten of Wells Fargo. 
Dori Kesten: You left your credit loss guide unchanged, but had a relatively low Q1. Can you just remind us of your [ 10 ] exposures that are built up to the annual assumption? 
Conor Flynn: Overall, we look at just the entire portfolio when we're doing the assumptions. And again, the 75 to 100 basis point credit assumption is really back to more historic levels. And the first quarter is clearly lower at 62 basis points. But there are some potential bankruptcies potentially during the year that could impact it. And we think it's more prudent to just leave the current guidance assumption, even though we still have been able to increase the same-site NOI guidance pretty significantly. 
Operator: The next question comes from Michael Goldsmith of UBS. 
Michael Goldsmith: On the integration of RPT, you said initial G&A synergies of $30 million to $34 million, you took it up to $34 million to $35 million. So in terms of realizing the synergies, what's driving them? What's driving the upside to your initial guidance? And where have there been positive surprises as you've started to put the plan into action? 
Conor Flynn: Sure. Thanks, Michael. Obviously, we're off to a great start with the integration. Clearly, we have a great blueprint and the muscle memory from Weingarten certainly helps. I'll have Will Teichman comment a little bit about the G&A synergies and what's helped there. 
 But on the revenue synergy side, we're obviously seeing a lot of deal flow earlier than anticipated. Just for the quarter, 10 deals were signed in the RPT portfolio at rents of $31 a foot, 36% new leasing spreads, 10.8% renewals, so for a combined 14.1%. So when you look at those numbers, it's obviously enhancing to the Kimco portfolio. 
 And the business plan was always set up where we would execute on a strategy where we could buy the portfolio at a, we believe, an attractive cap rate and a need-to-have cap rate and then selling off the lowest tranche at similar cap rates we felt like it would allow us to really retain a very high-quality, high-growth profile portfolio that with our platform could be enhanced over time. And so Will, I'd love for you to comment quickly on the G&A synergies as well. 
Will Teichman: Sure. Thanks, Conor. As Conor said, we concluded the integration of portfolio operations, systems and human capital. We did it within a matter of weeks, saving about 2 months off the time line versus our prior transaction with Weingarten. And as Conor mentioned, the playbook that we established post Weingarten has really been key to that developing an integration governance model, tools and processes that are repeatable for future transactions.
 On the expense side, as with any M&A transaction in our sector, human capital is always the most significant driver of G&A. And so speeding up the pace of integration activities avoids carrying necessary expenses during the transition period. A few drivers of note that I would call out. First, the quick execution of the 10 asset sales that Ross mentioned in his comments, allows us to hold to a more conservative staffing plan as we don't need to staff positions necessary to operate these assets. And secondly, a more rapid pace of integration allowed us to minimize the need for transitional employees over the first few months of the year. 
 Overall, our underwriting assumptions for permanent associates were on target, and we filled all of the incremental positions, solidifying our go-forward G&A expense levels to operate the portfolio. And finally, beyond staffing, one of the other noteworthy areas where we've exceeded underwriting is around professional services and subscriptions. Our IT and legal teams led an effort to quickly exit over 100 service agreements. And as a result, we're seeing faster accretion in this important area. 
David Jamieson: Thanks, Will. I also just comment that with the execution of the 10 dispositions, the grocery percentage of the RPT portfolio is up to 85.5%. So it's obviously enhancing to the Kimco portfolio as well. We even have activity on a few of the 9 remaining sites that don't have grocery anchors to potentially convert those to grocery anchors as well. So Will, do you want to comment a little bit on ancillary income as well? 
Will Teichman: Sure. With respect to ancillary income, it's one of the areas where, as a company, we've been working to build out a national specialty leasing team that's exclusively dedicated to this important area. That's not the case with all of our peers, and it wasn't the case with RPT where they had only recently established a focus around ancillary revenues. 
 We have a 10-year track record in this area, and as Conor referenced in his remarks, we started off the year with double-digit growth relative to first quarter of 2023 in terms of RPT's performance in this area. And it really comes through a variety of different strategies. We track probably over a dozen different ancillary revenue income streams. And it's a combination of strategies that we have employed across our portfolio to monetize common areas, as well as tactics to monetize and lease-up on a temporary basis, vacant in line space. 
 And knowing that the vacancy is a little bit higher in the RPT portfolio provides some near-term upside for us in terms of temporary leasing. 
Operator: The next question comes from Alexander Goldfarb of Piper Sandler. 
Alexander Goldfarb: So Connor, clearly, RPT, it sounds like whether very conservative or sandbagging, you guys were pretty cautious on how you underwrote it. It sounds like there's a lot of operational synergies on the cost side, but maybe you could just outline a bit more on the NOI side, what the upside is. 
 And it sounds like there's -- I don't know if it's 50 basis points or 100 basis points better on the yield, but just sort of a magnitude of this sort of NOI performance that you're seeing out of it in addition to what you're seeing on the cost savings and synergy side? 
Conor Flynn: Sure. Happy to, Alex. And again, I gave you some stats there on the RPT portfolio. But we gave ourselves, I think, a nice runway to execute and we've obviously been ahead of that assumption. So for the first year, we had -- we thought there would be a ramp-up in terms of leasing, and they thought there might be, again, a transition period where we wouldn't have similar Kimco velocity on the RPT portfolio. 
 And that just hasn't been the case. We've been able to transition very quickly. We've been able to lease up a lot of space relatively quickly and retain tenants at higher rents as well. So the original underwriting had a 6- to 12-month period of ramp transition to Kimco and we've been able to exceed the leasing velocity on that. 
 And there's some hidden gems as well that we didn't originally anticipate uncovering. So a lot of those deals that we're working on, like I mentioned on transitioning some of these assets to grocery-anchored assets take time, but we're ahead of anticipation on that as well. 
David Jamieson: Yes. I'd also mention when we took over the portfolio, there is always a risk in transition, especially on the construction side when you hand off projects from one company to the other. And despite the handoff period, these projects still need to get done. There's still targets that need to be met. There's still lease obligations to fulfill. 
 And as a result of that, from day 1 and really prior to the transaction, we were preparing for that, and that enabled us to meet and exceed some of this new pipeline compression as well that we saw this quarter with RPT and able to get some key tenants open very early in the year that will now benefit from through the balance of the year. 
 So obviously, in our SNO, we saw some good comprising about 20 basis points, but we saw more compression on the RPT side just because a few big anchors actually opened in the beginning part of the year. So again, hats off to everyone. It's not easy sometimes. We never want to take it for granted on the integration side. But really, team is laser-focused not only doing that, but then also executing just fundamentals in the core business with Kimco to make sure we had an outstanding quarter. 
Operator: The next question comes from Floris Van Dijkum of Compass Point. 
Floris Gerbrand van Dijkum: Nice positive results, I guess. A couple of questions, but I guess I'm going to focus my question to Ross. I know you mentioned, Ross, that the cap rates for grocery-anchored are pretty tight in particular. 
 As you think about deploying capital going forward, can you maybe talk a little bit on your views on lifestyle centers? And why wouldn't you pivot more -- why would not -- why wouldn't Kimco pivot more towards lifestyle acquisitions or are you wedded to acquiring and increasing your percentage of grocery anchored in your holdings? 
Ross Cooper: Yes. Thanks, Floris. It's a good question. I think one of the benefits when you look at Kimco is that we do own and have operational expertise in sort of all formats of open-air retail. We do love the grocery-anchored and with lifestyle as well. many of those assets have a grocery component that you get the benefit of. 
 When you look at the acquisition that we made last year with Stonebridge, that's a prime example of a dominant Wegmans-anchored center that's had a lifestyle component, and based upon the size, we were able to buy that at a high cap rate north of 7% because the deal size was a bit larger and because of the operational expertise that it requires to manage and operate those assets is a more limited buyer pool that we think gives us a differentiation. 
 So we're absolutely looking at those types of assets in this environment because of how tight cap rates are on neighborhood grocery anchor, the unanchored strip center segment, you've heard a lot about. There's a lot of capital flowing into that. You've seen cap rates continue to compress on that product type. 
 We believe that our differentiation is utilizing our platform for more complex and sometimes more difficult operational assets that we can create value that we don't believe others can. And that doesn't mean that we're not going to continue to pursue more neighborhood grocery-anchored opportunities when the pricing aligns with our cost of capital. But where we are today in the cycle, that's just what we're focusing on. 
 And the other component is, of course, our relationship with our joint venture partners that we can continue to look at opportunities alongside to help enhance our yield, utilizing the platform with the joint venture. So it's certainly something that we continue to look at. And as the market continues to evolve, we'll deploy our capital the best way possible. 
Conor Flynn: Floris, the only thing I would add to that is you've seen for a while the lines are blurring across all different retail formats. And what I mean by that is really the merchandising mix. And so you've seen sort of the best-in-class mall tenants gravitate towards open-air shopping centers. 
 You've seen certain lifestyle centered retailers gravitate towards all formats of open air centers. And so I think with our operating team, we really focused on, again, enhancing the Rolodex we have. And so looking across all the different formats, they are starting to look similar to one another and making sure that we have the Rolodex across all those formats have been so critical to our success. 
 And I think that's what we do well is look at how do we go about extracting the most value having enhancing the merchandising mix by utilizing that Rolodex across all different formats. 
Operator: Our next question comes from Juan Sanabria of BMO Capital Markets. 
Juan Sanabria: Just wanted to switch tack here. in terms of the Q&A. Just wanted to get your strategic views or sense of the pharmacy and kind of health and wellness business trends and credit there, just we've had Rite Aid, BK, Walgreens is shrinking and Walmart is now pulling out. So just curious on how you see the space evolving and how you're positioning the company just to deal with the changing landscape. 
David Jamieson: Sure. I think each of those have their own story. And as we know with Rite Aid and having to settle a lawsuit was a big disruptor for them, but it's no secret. Obviously, there is disruption, and I think a shifting landscape in the pharmacy business and how it services the customer. 
 That said, health and wellness, I think, is more at the forefront now than it ever has been with consumers, both in how they maintain themselves with fitness, mind and body really been a focus. Food, what they're eating, how they're eating, what they're consuming. You're seeing a lot of innovation and creativity in the F&B world, new concepts, Cava just went public. 
 No too long ago, seeing good growth and expansion there. You're seeing some more of the traditional format F&B QSR concept evolve their menus to accommodate the new consumer case. And then you do see continued opportunity with the Med Spa concepts, urgent care and the services business is related to the customer and then to what fits well in the open-air sector. That said, individual businesses have different business models, individual businesses, the opportunities while others see some disruption. 
 But I think you have to look at it more holistically where is the macro trend going? I think it's still very much supports it. But again, trends are cyclical, and there's always moments of disruption. And obviously, that also creates opportunities for newcomers and other entrants to evolve their business to capitalize on that. 
Conor Flynn: Juan, I think from a merchandising mix standpoint, the pharmacy has evolved almost like become a mini mart in so many ways. So when you go into a pharmacy, the script business is always in the back and then you walk through all the aisles of higher-margin items. And I think what happened there is the script business got disrupted and then their pricing on the, call it, traditional grocery items, were elevated versus other options that the consumer had. 
 And so clearly, they're going through a transition period of having Amazon and others come into the prescription business and then what the front of the house looks like. 
 So the good news from the real estate point of view is typically those deals were done on ground leases, and were done pads or positions up in front of the shopping center that are highly valuable. So I think we have the ability to recapture some of those with drive-throughs, repurpose and actually get a significant mark-to-market on spaces that we get back. It's probably unlikely we'll see a lot of them coming back to us because they typically are the most valuable pieces of real estate in the shopping center, but it is one that I think we have the opportunity to reset if we do get our hands on a few of them. 
Operator: The next question comes from Samir Khanal of Evercore ISI. 
Samir Khanal: Conor, just looking at the shop occupancy for the RPT portfolio, I think sequentially, was down 40 basis points here. Is there something to read into that, considering that we've seen sort of sequential increases for a while now? Or is that sort of you being more proactive as you sort of de-lease space for greater opportunities? 
Conor Flynn: That was the upside of the deal for us. We actually think that, that's really sort of the juice to be squeezed because we see the small shop momentum continuing. If you look at the Kimco portfolio and the sequential gain we had there, and some of the -- obviously, the leasing we had on the RPT portfolio out of the gates was way ahead of our anticipation.
 So clearly, when we look at the upside of the deal, there's going to be a lot of momentum on the leasing side on the small shops because some of those shopping centers that have lower small shop occupancy are actually where we're building out anchor spaces. And so for example, in Florida, we've got a Publix under construction, a Trader Joe's under construction and a lot of those small shops are baked-in because there's no anchor there yet. We know the momentum of having those types of grocers open are going to be significant to the leasing momentum. So it gives us a lot of cautious optimism that we're in the right spot. The business model is working well. We can continue to focus on executing and building out those spaces efficiently and then lease up the surrounding spaces. so far, so good in terms of the integration. 
Glenn Cohen: Yes. I would just add that when we acquired RPT, their small shop occupancy was over 200 basis points lower than ours. So when you blended it all together, again, because it's obviously a much smaller portfolio, the impact at the end is only about 40 basis points. 
Operator: The next question comes from Haendel St. Juste of Mizuho. 
Haendel St. Juste: I wanted to follow up, Ross, on some comments you made about the transaction market, the challenge of redeploying capital into dispositions from the dispositions here. Can you talk a bit about the range of cap rates you're seeing out there for the quality you want to buy versus what you need to see to be more active? 
 And maybe why do you think cap rates will move higher in the back of half the year or perhaps seeing more opportunity, trying to get a better understanding of why you're not getting more active now and if the JV capital could play a role as well. 
Ross Cooper: Sure. Yes. I mean the JV capital can certainly play a role. But to answer your question, we're fortunate that we have a variety of ways to put out capital. So the acquisition, the core acquisitions, we continue to be very disciplined. You saw last year a very modest amount of traditional core acquisitions because when the market is not where our cost of capital is, we stay patient, we lean into structured, we lean into leasing, we're leaning to redevelopments, and we have other ways to place capital. 
 So today, as I mentioned, the core kind of neighborhood, grocery-anchored shopping centers are in that plus or minus 6 cap range. With where we are today, that doesn't necessarily fit for us. But our hope is that, that changes either with our cost of capital being more aggressive as the year progresses or a little bit of a softening in the pricing depending on macro conditions. 
 You've seen one of our peers out in the market with a substantial amount of, call it, more commodity power. Those are still trading in the 7% to 7.5% upper 7% cap range. So there's clearly capital that's chasing those assets. We're not really focused on commodity power today that doesn't have the growth profile that we're looking for. to Floris' earlier question, you've seen some sort of lifestyle type assets. Those are, as Conor mentioned, really lending into a lot of the other categories. So it is a bit of a hybrid, depending on whether there's a grocery component, what type of shop space you have. So the pricing levels there and the cap rates really range pretty significantly. 
 Where we see opportunity for us, again, I'll reference the Stonebridge assets that we acquired last year. Some of the larger check sizes really eliminates a significant amount of the bidder pool. We can utilize our platform to be a bit more aggressive on those types of assets, but still maintain yields that are attractive to us. 
 And the CAGR on the deal, that the growth rate is really critical to us. That's not simply just the going-in cap rate, but where can we actually utilize our team to move that cash flow and increase it. So that's something that we're very focused on. If we don't believe that we can do that, it doesn't really matter what the going-n cap rate is we're not going to acquire it. 
 So as I mentioned in the remarks, the structured investment program is one that we continue to field a lot of questions, conversations, interest level. I think there's going to be a bit more activity there. Where we can participate in assets that perhaps have a broken capital stack, but not broken real estate, we like those opportunities, and we think there's going to be more of it. So on a blend, we're still confident that we're going to be able to put out capital at accretive rates even if the core acquisition opportunities remain pretty tight. 
Operator: The next question comes from Craig Mailman of Citi. 
Craig Mailman: I just want to go back to kind of the small shop commentary, maybe ask a quick 2-parter here. But you clearly have some good commentary around the progress at the RPT assets. I'm just kind of curious, as you'd mentioned some grocery anchors coming on and maybe timing-wise, is helping. 
 But how much is just your kind of probably broader tenant relationship an asset there versus just the overall kind of pace of the market? 
 And also, just in general, kind of what small shop -- has there been any change in kind of mix of activity among small shop tenants that are looking to take space. 
David Jamieson: Yes, great question. So with -- obviously, the broader market is doing quite well. But for us specifically, we've launched a variety of programs to really activate our small shop effort and to drive demand and drive demand into our portfolio. 
 We've launched a national account management program that's really piloting and targeting those fast-expanding retailers, F&B operators that are looking to hit open air and we make regular stops and visits with those retail tenants showcasing the opportunities within the portfolio, really have a considered effort to try to grow market share with those individual retailers. 
 We sit with franchisors. We do seminars with them to help introduce Kimco to the franchisees within that concept so they understand what they can do and what they get when partnering with Kimco and all the services that we can provide as a best-in-class landlord operator and partner to them. 
 We develop form leases to help make the experience as seamless as possible when engaging with Kimco. So then the operator themselves can really focus on developing and delivering the business. And I think what we saw through COVID was the interview with the landlord is almost as important as the interview with the tenant, especially when the market is constantly changing. You need to make the critical investments into the site to make sure you're building the best mousetrap evolving with the local community and providing those essential services to allow the small shop operators to survive and thrive. And I think that's been acknowledged and represented in some of the activity that we see as well. 
 In terms of uses, you continue to see growth in the F&B. I mentioned, Cava and others earlier in the call. You're also seeing a continued growth in dollar store concepts, DAISO was one that was really on a growth path. I wouldn't say they're necessarily a small shop, but they are taking and combining some spaces, creating new opportunities there, so. But holistically, we're seeing in personal care services. So within the individual retail verticals, it's pretty broad reaching. 
Operator: The next question comes from Caitlin Burrows of Goldman Sachs. 
Caitlin Burrows: Occupancy's on the rise and same-store -- sorry, not same-store, the SNO pipeline is still pretty wide. But I guess, looking forward, it looks like you leased 4 million square feet of space in the first quarter, but that's down from 1Q '23 and 1Q '22 despite now having a larger portfolio. So wondering if you can talk about what's driving that leasing volume lower? Realize it could be for a number of reasons. 
David Jamieson: Yes. I mean, right now, it's obviously -- our occupancy is also at 96% or all-time high 96.4%. So you're obviously looking at the opportunity set does change as well with that. As it relates to the volume, it's still pretty much in line with prior years, and it's also Q1. 
 And timing of deal execution can vary throughout the cycle quarter-to-quarter. And I wouldn't say there's any slowdown in the deal velocity nor the interest in space. We're seeing actually interest in space and some of our longer-term vacancies now, which is really interesting to see. And the continued conversation that we have with the retailers about where is the next set of inventory come from, they're continuing to try to hit there and find their opportunities to hit their market share targets, their store opening targets. 
 And we're not just looking at current year, but obviously, 2 years out on the rollover schedule. So we're very encouraged by what we've been seeing in the market and it's pretty far reaching in terms of geography. It's really not isolated to any one particular market. Obviously, Florida and the Southeast has seen its fair share growth over the last several years. That continues, but you're seeing really across the board activity, which is very encouraging. 
Operator: Our next question comes from Greg McGinniss of Deutsche Bank (sic) [ Scotiabank ]. 
Greg McGinniss: Sorry, a little thrown by the bank there. Looking at the guidance update, it's just under $0.02 from interest income, non-GAAP income and around $0.015 from higher same-store NOI growth, at least based on our math. What are the offsetting factors on the $0.02 guidance range. Is that just earlier dispositions than initial plan? Or any color would be appreciated there. 
Glenn Cohen: Yes. I mean, again, it was a very strong quarter. There is, as I mentioned, just under $0.01 of I'll call nonrecurring or onetime things that are in there. But the balance of the year is shaping up very well. So we increased the guidance by the $0.02 that we saw so far and feel good that we're in good shape to reach towards the upper end of that range. 
Greg McGinniss: Okay. And then on the 10 RPT dispositions, how important was providing the seller mortgage financing on those transactions to getting them done at the 8.5% cap rate? I mean if the buyer had to go elsewhere for financing, where do you think those cap rates might have trended? 
Ross Cooper: Yes. I mean I really don't think that it impacted the pricing or the execution at all to be completely transparent. That was a structure that we were excited about and pushing on to the buyer because we really wanted to retain a slice of those assets at yields that are really attractive for us. 
 So as it relates to the transaction itself, at the risk of repeating a little bit of what Conor said, we really tried to telegraph early on what our strategy was on the company and on the acquisition. And we were buying into a great portfolio at a mid-8 cap where we acknowledge that there was a tail in the portfolio. And we're really excited that we were able to sell that sale at the same cap rates that we bought the whole company. 
 So with what we're left with, Miami, Boston, Atlanta, Austin, Denver, Nashville, just to name a few at the same blended cap rate that we went into the company and the acquisition. So we feel really good about that. We feel good about the execution on that deal. And we think that it was a win-win for us and the buyer on those 10 assets. 
Operator: The next question comes from Mike Mueller of JPMorgan. 
Michael Mueller: I guess looking at the full year planned dispositions, it looks like another maybe $100 million to $200 million and those, I guess, the guided to cap rates look to still be in the mid-8s. Just curious what's making up that remaining disposition bucket? 
Ross Cooper: Sure. We frankly don't have anything specifically identified for that. We've executed, as we talked about on the 10 that we really wanted to get done, and we got done with it quickly. So on a go-forward basis, our goal is really to improve the quality portfolio and the growth profile. And frankly, it doesn't matter if that's a Kimco legacy asset, RPT, Weingarten JV, wholly owned. 
 Our job is to identify those assets that have some movement in the direction that is not in line with where we're trying to go with the portfolio and remove them before they do so. So these assets are very dynamic and changing at all times. The vast majority of our portfolio continues to improve, and we're able to add value. And then occasionally, there's an asset here or there that doesn't fit that profile that we look to prune. So we really are back to just the normal course pruning of the portfolio, again, regardless of when we bought it or where it came from and we'll selectively identify those, but we do expect that we would be on the lower end of the range. 
 Anything that we do look to sell going forward, while the cap rate range on the overall blend remain the same in our guide, we wouldn't anticipate selling anything that is not at the low end or below that end of the range. There may be a couple of joint venture assets that end up going into the market and those would be at much tighter cap rates in that range. So we kept the range intact just because we don't know what exactly that portfolio looks like, but we do know that going forward, anything that we sell would be below that range going forward. 
Operator: Our next question comes from Anthony Powell from Barclays. 
Anthony Powell: You mentioned you saw a lower, I guess, landlord expenses than you expected and we noticed that, too. Maybe talk about what drove those lower and your opportunity to continue to control expenses going forward. 
David Jamieson: Yes. I mean, our team has done an exceptional job just really looking at every expense line item and finding opportunities to either do it more efficiently, find ways to save and just make adjustments in terms of our operating strategy. And so I have to commend the team and just really digging deep line by line and really finding a better way to manage the business and manage the sites locally. As a result of that, that helped drive our expenses down for the quarter. 
 There is some seasonality there, too, just in terms of timing of when things actually hit and in our book. But in general, that was sort of the broad effort that occurred. 
Operator: The next question comes from Wes Golladay of Baird. 
Wesley Golladay: I'm just looking at the presentation, and you have about 6,500 multifamily units entitled. Do you have any interest in starting developments this year to deliver to the -- like a low supply market a few years from now? 
Conor Flynn: It's a good question, Wes. I mean, we've always looked at optionality as being a benefit to us on the entitlement program. We do believe that future value creation is embedded in our portfolio. Unlocking that is a good way to sort of set up different levers for growth when supply and demand and cost of capital is in your favor.
 It's hard to see sort of putting a shovel on the ground today, making a ton of sense where our cost of capital is. So what we've elected to do, as you've seen in the supp is contribute entitled land into a joint venture as our capital and then put in preferred equity that has a higher yielding return on it. That being said, we do like the ground lease approach where we have no capital outlay and a multifamily developer can come in and develop the entitlements and we retain the ownership of the fee position. 
 So we have a number of different ways to do it without having a significant amount of capital going out that's not returning anything day 1. And we'll continue to take that approach being very selective and understanding that. We've also monetized entitlements where we don't see fit in terms of developing it ourselves like office entitlements. 
 So there's a number of different ways we can look at it and every single asset is its own analysis. And so we try and take it 1 by 1 and identify what's the best way forward for that asset. 
Operator: The next question comes from Linda Tsai of Jefferies. 
Linda Yu Tsai: As you look at the SNO pipeline, you have good lease-up opportunity you had still. Do you expect the SNO pipeline to be higher or lower by year-end versus now? 
David Jamieson: Yes. Good question. Obviously, this quarter, we did compress at 20 basis points. We also absorbed the RPT portfolio. We compressed that pipeline actually significantly. As I mentioned earlier in the call, a couple of big deals started to cash flow in Q1, which was driving that benefit there. 
 That said, we do continue to see upside on the continued lease-up. I mentioned earlier that we're seeing opportunities on some vacancies that have been baked in a little bit longer than others now and as well as sort of the Tier 1 inventory that we have that continues to get absorbed. 
 So when you roll it all together, and I would anticipate that our SNO pipeline will remain slightly elevated as a result of the continued lease-up activity. But when you look at what we're contributing in terms of new cash flows, we obviously had about just over $2 million contributed in Q1 from new openings, about 150-plus leases that commenced from there. They'll contribute about $15 million in total for the balance of the year. 
 And then in addition to that, we're targeting around $25 million to $30 million to be contributors for the balance -- in totality for this entire year. So we're starting to see those benefits, as you saw with our Q1 results that it is contributing to the bottom line but we continue to see opportunities in the lease-up side. So that's why I think it probably will remain a little bit elevated for the short term. 
Conor Flynn: Linda, a lot of it is event driven as well. So when you get a number of spaces back at once, and then you have a lot of leasing activity backfill those, you can elevate the SNO pipeline. But if you don't have an event that gives you back a lot of space that you can release quickly, it should compress. 
 So with the JOANN bankruptcy coming out of bankruptcy and emerging with no leases rejected, no boxes coming back sort of showcasing that, and even they said it's about market share and they wouldn't want to give any end of the spaces back because they would lose market share. It showcases the supply and demand dynamic that we're experiencing today where with no new development going on in our sector and demand being so robust, the existing leases are worth more than they have been in a very long time. 
 And so when you see that, there's unlikely going to be a slew of boxes coming back at the same time that would then cause a spike in the SNO pipeline. It's going to be more blocking and tackling, filling up the small shops that we have left to go and filling up the remaining vacancies on the anchor side, which we have good activity on. 
Linda Yu Tsai: And I think you mentioned...
 [Audio Gap] 
Operator: Our next question comes from Ronald Kamdem of Morgan Stanley. 
Ronald Kamdem: Just a quick 2-parter for you guys. So on the same-store NOI guide raise, is it fair to say that it's basically earlier commencements that drove the upside? And what is driving sort of the expected deceleration in the rest of the year, is part 1? And then part 2, on the acquisition guidance, just how much of that is identified already versus speculative? 
Glenn Cohen: Sure. So as it looks to the rest of the year, we're still comping against some of the Bed, Baths in the second quarter. So that's going to have some impact as we go there. The guide increase really is we have further commencements that came online quicker, as Dave alluded to. 
 And again, the credit loss has been performing very well so far. So again, we are more comfortable towards the lower end of the range. So that's really what's built into the guide. 
Ross Cooper: And related to your acquisition question, we're always hesitant to talk about deals before they're really firmed up and closed. But what I can tell you is on the core acquisitions, we do not have anything under contract today. 
 We are pursuing a few opportunities that we hope will move ahead, but stay tuned on that. And as it relates to structured investments by nature, those deals are really driven by other parties, whether it be buyers, sellers, owners, senior lenders. So those deals are always a little bit fluid until the very end of the process. 
 But as I mentioned earlier, we're seeing a lot of demand for our capital and having some really dynamic conversations with owners and buyers that are looking for us to help secure a piece of the capital stack in those deals. So we're pretty confident that there's going to be some more activity there as the year progresses. 
Operator: The next question comes from Tayo Okusanya of Deutsche Bank. 
Omotayo Okusanya: I wanted to go back to Wes' question, but rather I talk about multifamily, talk a little bit more about just the retail redevelopment. You do have in your supp, a fairly expansive list of potential new retailers you could start. I'm just kind of curious about potentially starting those up, just kind of given the overall development pipeline, is probably not as large as some of your peers, but everyone is getting really good yields on that. 
David Jamieson: Yes. I mean we always look at it as opportunistic in nature. Those are entitlements that we have in our back pocket that we can pull off the shelf when the timing is right. And honestly, when we look at all of our use-of-fund opportunities and determining where the best use of capital is at any given point in time. 
 So we look at it holistically. And that's how we've always approached the multifamily entitlement program. We selectively activate them. As you know, we have a couple underway right now. But just going to be very prudent on when we activate the next tranche. We're seeing great returns right now on retail repositioning, retail redevelopment. That's the core. 
 You're seeing double-digit yields on those investments. And then obviously, leasing, when you look at the elevated activity on the leasing side, it's the best use of our capital. And if we can continue to do that and drive high returns and yields for the investor base, we continue to do that all day long. So for us, it's just another tool in the toolkit, and we'll activate it when timing is appropriate and the market cycle makes sense. 
Operator: The next question comes from Paulina Rojas of Green Street. 
Paulina Rojas Schmidt: You talked about tight pricing in the transaction market for certain assets. And I'm thinking more about geographies. Are there any markets or regions standing out for being less crowded, but that, in your opinion, could offer some opportunities? And I'm basically thinking that regions such as the Southeast being so hard. 
 I wonder if that is opening opportunities somewhere else, even in markets that traditionally have not been sought after by most investors even the Midwest, for example. 
Ross Cooper: Yes, it's a good question. And we always do look at new markets that might make sense for us. As you know, San Antonio is a relatively new market for us that we continue to lean into. Nashville is a market that we really weren't in before that we have acquired a few assets via the RPT transaction. So we're open-minded as it relates to new markets. even in the Midwest, which over the last decade, you've seen a lot of institutional capital sort of outflowing. 
 You are seeing more demand in some of those markets and pricing that is getting tighter and where it's been compared to some other markets. So we really have the benefit of our geographic diversity that we can look for opportunities really anywhere in the country where we have boots on the ground and we have conviction. 
 So we're keeping an open mind for those markets. We have our structured investment program, which also allows us to be a little bit more creative and opportunistic as opposed to just core acquisitions. So -- we'll continue to keep our eyes open. 
Operator: The next question comes from Jeff Spector of Bank of America. 
Jeffrey Spector: Maybe let's turn back to the transaction market. Ross, you said at the top of the call, just given what's happening with the Fed view on rates, there's a dampening in the transaction market. Has anything changed, let's say, in the last couple of weeks? And maybe you could touch on the structured investment pipeline. 
Ross Cooper: Yes. I don't know that I would identify the last few weeks, just any different than sort of the volatility that we've seen in the first 4 months of the year. There was a lot of hope going into the year that there would be some more stability. 
 And really, we can live and there can be a market that's efficient in a higher interest rate environment, but there just needs to be some stability there. So with the uncertainty, it just makes it very difficult for any investor that is looking for financing because there is a lag time between when you shake hands on a deal and when you actually go in and operate or close on that loan and the buyer and the seller expectations oftentimes change accordingly. 
 So the hope is that there's a little bit more stability to that. And then on a go-forward basis, we can see the transactions start to increase over the back half of the year. And I think that, that will happen, but there's still just a lot of unknowns at the moment. 
Operator: And our next question comes from Alexander Goldfarb of Piper Sandler. 
Alexander Goldfarb: Just a quick follow-up on the heels of Linda Tsai's question. Do you think that we're being lulled into complacency on the strength of the retail market, the fact that JOANN basically had no downtime. Bed, Bath was almost a nonissue. 
 Just curious if you think that we're being lulled into complacency or for the next few years, you see this low-credit, high-demand environment enduring it's certainly quite a contrast to what we're used to pre-pandemic? 
Conor Flynn: A lot of it, Alex, I think, ties back to supply and demand. I mean if you look at the lack of new supply for the last decade plus, and then the evolution of the omnichannel approach by retailers and how important the last mile is with their store located close to where people live, work and play, I think that model has won out. 
 You've seen an exit of a lot of pure-play e-commerce players, especially in the grocery business. And you've seen a lot of the pure play e-commerce players, the larger ones lean into their stores now that they have to utilize them as distribution fulfillment and an in-store experience. 
 So I think that combination is really what is leading to a resurgence of the importance of the brick-and-mortar world and the integration of the e-commerce platform has been a big boost. Whereas at one point, it was David versus Goliath that it was going to be -- one was going to win and one was going to lose where now it's obviously the combination is the winning model that everybody is following. 
 So all those ingredients, I think, lead to the environment that we're in today. Lulled, I think, is not the right word. I think we're in a situation where higher rates have impacted all of commercial real estate. And so I think when you get through this noise and stabilization period of where rates may settle out, there's going to be, I think, a differentiation in sectors of really who has pricing power, who is able to outgrow interest expense. 
 And I think there's only going to be certain categories that are going to be able to do that, and I think we're in the right one. 
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Bujnicki for any closing remarks. 
David Bujnicki: I'd just like to thank everybody for joining today's call. We look forward to seeing a number of you at the upcoming NAREIT conference in June. Please enjoy the rest of your week. Thank you. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.